Operator: Good afternoon. Thank you for joining us for the BioTelemetry' Third Quarter 2015 Earnings Conference Call. Certain statements during the conference call and question-and-answer period to follow may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities and Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company in the future to be materially different from the statements that the company’s executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper. Sir, you may begin.
Joe Capper: Thank you, Operator and good afternoon everyone. I'm Joe Capper, President and CEO of BioTelemetry also with me on call today is our Chief Financial Officer, Heather Getz. I'll start with an overview of over third quarter performance, Heather will take you through a more detailed review of our operating results and we'll then open up the call to your questions. So let's get started. I'm extremely pleased to report that we recorded our 13th consecutive growth quarter, improved margins, exceeded our EBITDA expectations and recorded positive GAAP quarterly and year-to-date EPS for the second consecutive quarter. As a reminder last quarter was the first time we had a positive GAAP EPS in six years. Additionally we were excited to see CMS affirm 8% rate increase for MCOT with the publication of the final 2016 physician fee schedule last week. This rate increase coupled with recent legislative developments in the field of Telehealth has largely removed any cloud of reimbursement uncertainty and points to a far more stable future for our business. At the outset of 2015 we have established financial guidance that represented a significant increase over an extremely successful 2014 calling for a 50% increase in EBITDA. Later in the year we increased that guidance a bit further targeting a 60% increase over 2014. In order to achieve this objective we needed to grow healthcare services faster than the industry, deliver solid results from research services and continue to control expenses. I'm pleased to report that is exactly what we did in the third quarter and we remain one pace to reach a higher. EBITDA estimate of $32 million. As I reiterated on several previous calls in order to achieve these outstanding results we have to execute both financially and operationally. We accomplished that by adhering to the guiding principles we used to manage the company. As a reminder our daily focus is to solidify our leadership position in cardiac monitoring, establish a leading research services business around the cardio core platform and look to identify markets that would benefit from the application of our wireless platform and proprietary technology. Let's take a few minutes to review some key specifics from Q3. During the period revenue grew by 1% one to approximately $43.5 million  slightly lower than expected due to softer product sales in our lower margin technology division. However overall margins continue to improve as EBITDA grew by 44% to $8.7 million exceeding our expectations. We ended the quarter with 15.5 million in cash up slightly sequentially, a loss of cardio key has been an outstanding success story as we've already surpassed our 1000 patient milestone. We made tremendous headway on the reimbursement front with the recent announcement from CMS that the 2016 fee schedule will include the 8% increase for MCOT and our research services team continue to make progress in several critical areas. Let's review the components of the business which are driving this the success. In our research services division we saw continued improvement in gross and operating margins as anticipated. Our organic growth driven by our comprehensive approach to the market and the introduction of CardioKey coupled with the scale we created through acquisitions has accelerated our path toward improved profitability. The revenue performance of our health care business was essentially right on target for the quarter. However this warrants a bit more color especially given some of the market dynamics we experienced this year. As mentioned in the past the summer season typically poses a challenge for the healthcare services business as people postpone doctor visits. A phenomenon that was more pronounced in 2015. Industry data indicated that this year physician office visits dropped 5.2% in the second quarter and 3% in the third quarter compared to the same period last year. As expected we experienced lows during these warmer months. What is especially interesting however is the trend we established coming out of the summer, September was the best month of the quarter and October while not part of the period being reported was the best health care services revenue month in the history of the company. September and October sales were somewhat all managed by the full market release of CardioKey which is going better than expected, given its initial momentum we expect the product to be a strong performer going forward. On our last call I discussed CMS's published 2016 fee schedule. These rules indicated that the rate for MCOT service would increase by 8%. We are pleased to report that these new rates were codified in November when CMS announced the final 2016 fee schedule. This is great news for '16 and we will certainly continue to work with all stakeholders in an effort to remove reimbursement related structural constraints on the more rapid adoption of Telehealth services. BioTelemetry was instrumental in providing insight regarding reimbursement levels from remote monitoring services in general and MCOT specifically. We believe our work in this area helped pave the way for the 2016 rate increase and will continue these efforts to ensure reimbursement stability especially as CMS and commercial payers move to more advanced models incorporating value based payments. Also during the quarter we once again successfully defended our intellectual property, a federal court ruled in our favor, won several motions involving MedTel 24 including -- finding them in contempt of court ultimately MedTel was forced from the market. Turning to research services. During the quarter we continue to see improvement in the outlook for this important division as we made excellent progress in several areas, we establish an office and business development presence in Japan which has already begun to produce a multi-year sales pipeline and backlog. The team won another preferred provider agreement with a large pharmaceutical sponsor, we continue to convert backlog to revenue, continue contributing to a growth rate that is estimated to be more than two times the industry average. And we continue to evaluate opportunities to further expand outside of the U.S. and to broaden our service offerings. In addition to the advancements in our core business. We continue to invest resources towards further diversification which I've spoken about on previous calls. We are making excellent progress with our at home are INR monitoring service which allows us to leverage our current IDPF and sales and marketing infrastructure, our collaboration with Wellbridge Health, a CHF Care management solutions company aimed at reducing unnecessary hospital readmissions and emergency room visits is progressing according to plan. And we're spending more time evaluating other opportunities to leverage certain core competencies within the company. Given the success we have had executing our plan and the trends we see in the business as we prepare to close out 2015 we’re now in a fairly good position to provide some color on expectations for next year. All of us being equal we anticipate low double digit growth in the top line with at least a 20% EBITDA margin in 2016. I will now turn the call over to Heather for a detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe. Good afternoon everyone. As Joe discussed our Q3 revenue came in slightly below our expectations at $43.5 million the health care and research revenue were about as expected with an increase of $1.7 million or 5% growth over the prior year while our technology revenue was lower than expected with the decline of 1.3 million. This resulted from certain customers postponing orders in Q3 in anticipation of us launching upgraded version of the product. Conversely our research segment posted a 15% increase in revenue resulting from a higher number of active studies in the quarter. While our health care revenue was higher year-over-year as we mentioned on our Q2 call we did expect slower patients volume in the quarter due to the summer season which is typical. We saw a more pronounced slowdown of patients volumes in the early months of the quarter with a significant pickup in the month of September. This trend is consistent with IMS doctor visit data which showed cardiology visits down here year-over-year in July and August and up slightly in September. This volume pickup continued into October which was our biggest revenue month ever for the healthcare. Moving to gross profit, our margin was 60.6% which was 430 basis points higher than the prior year quarter. This marks the fifth consecutive quarter of gross profit improvement post acquisitions and the Medicare reduction in early '14. This margin improvement comes from favorable pricing dynamics in the health care segment as well as operationally efficiencies and wireless device communication savings. While we will see some origin improvement in 2016 due to the Medicare rate increase and our next generation MCOT, we expect gross margin return to generally remain around Q3 levels for the remainder of 2015. As we have seen throughout the year our increased gross margin leverage combined with operating expense discipline is positively impacting the bottom line. We generated positive adjusted EBITDA of $8.7 million for the third quarter of 2015, a 44% increase as compared to our Q3 '14 adjusted EBITDA of $6 million. Since the first quarter of 2014 we have more than doubled our EBITDA margin to 20% while absorbing the Medicare rate reduction which occurred in January 2014. Now turning to the balance sheet, we ended the quarter with $15.5 million in cash compared to $20 million at year end 2014. In the first quarter we paid $6.4 million to the Department of Justice for the negotiating settlement and we use $10.3 million for capital expenditures primarily for medical devices for use in our health care and research segment. Excluding the payment to the DoJ we generated free cash flow of $3.2 million. At the end of September we had 24 million of debt which is less than onetime of our trailing 12 month EBITDA. We also have access to a $15 million credit facility which remains underdrawn. As you can see we have maintained a very healthy balance sheet with our cash balance and low debt levels. Also to note we fully converted to ICD10 diagnosis codes on October 1. While there was concern in the industry that we may see a slowdown or stoppage of payments during this conversion. This did not occur for BioTelemetry. As of today we have had no issues with the conversion and are receiving payment using the new codes. Shifting gears now, I would like to touch on the outlook for the remainder of 2015 and our outlook for 2016. With our strong year to date performance we are on track to meet our previously issued full year guidance of over $32 million of adjusted EBITDA. Given the lower than anticipated revenue growth we will need to revise our full year top line guidance to mid to high single digit growth. This translates to revenue in Q4 of approximately $45 million to $46 million and EBITDA of about 9 million. Joist to reiterate this slightly lower annual revenue guidance does not impact our EBITDA expectation as a disproportionate amount of the revenue shortfall is coming from our lower margin technology segment and we have realized more overall efficiencies than originally expected. Our research and healthcare segments are doing well supported by growing backlog and the launch of the CardioKey term. We are investing in our international locations while continuing to look for opportunities to further diversify our portfolio. Lastly we continue to streamline our operations as evidenced by our increased EBITDA leverage. As Joe laid out we’re in the process of planning for 2016. With the expansion of our product and service offerings as well as the increase in Medicare rates which was finalized last week. We are guiding to low double digit revenue growth and at least 20% EBITDA return. To summarize, we posted our 13th consecutive quarter of year-over-year revenue growth, our 5th consecutive quarter of gross margin expansion and six consecutive quarter of EBITDA margin expansion. In addition we have generated GAAP net income in the quarter and on a year to date basis. We have a strong balance sheet with plenty of cash, low leverage and additional debt capacity if needed. As such we are confident about the company's position and our ability to achieve the guidance provided for the remainder of the year and 2016. And with that. I will now turn the call back over to Joe.
Joe Capper: Thanks, Heather. As you’ve just heard we had a highly successful third quarter. In addition to achieving excellent results and improving margins we move CardioKey further into its launch base, continued to see progress in our research and INR [ph] businesses and received outstanding news from CMS regarding 2016 final rates for MCOT. All of this gives us greater confidence in our outlook for the future. As mentioned we’re referring full year EBITDA guidance of over $32 million representing 6% growth year over year. We expect a strong finish to the year with a focused on driving growth in the health care division by executing our comprehensive strategy and leveraging the advantage of the CardioKey to grab more share. Preparing for the launch of our next generation MCT product in a patch format, expanding the research services business by growing and converting backlog, exploiting new revenue opportunities whether our INR and other potential initiatives and continuing to drive efficiencies throughout the organization to maximize margin opportunity. Given all of the positive momentum in the business and the improved reimbursement environment we have set expectations for next year at low double digit revenue growth with a remarkable. 20% EBITDA return. To put this in perspective five years ago this was a single product company but a 2% EBITDA return a negative earnings. Although we have made tremendous progress our best days lie ahead. Before I close I would again like to thank those at the company who helped deliver our 13th consecutive growth quarter. You should be very proud that your hard work positively impact the lives of hundreds of thousands of people who depend on our products. With that we will now pause and open the call to questions. Operator, we are ready for our first question.
Operator: [Operator Instructions]. Our first question is from Bruce Jackson of Lake Street Capital. Your line is open.
Bruce Jackson: First if we could talk a little bit more about the gross margin next year, so you've dialed in the MCOT reimbursement increase from CMS. What were some of the other puts and takes? So is there like any for example any advantage to launching CardioKey or any other cost savings that you're anticipating? And are there any like offsetting expenses that are in there?
Heather Getz: So for 2016 Bruce?
Bruce Jackson: For 2016, right.
Heather Getz: So the Medicare increase is included in that 20% EBITDA return and then while we may see some additionally efficiencies we may take the opportunity to invest some money back into the business to help us accelerate the top line. So we've incorporated all those factors into that 20% EBITDA return.
Bruce Jackson: And then a couple housekeeping questions on the revenue side, what was the total number of patients service during the quarter and then was the MCOT percent of revenue?
Heather Getz: So the MCOT percent of revenue was about 56%.
Bruce Jackson: And then have you provided a total number of patient service in the quarter?
Heather Getz: No we don't typically provide the actual numbers, Bruce.
Bruce Jackson: Do you’ve a growth rate?
Heather Getz: The overall growth rate quarter over quarter was about 3%.
Bruce Jackson: Okay. And then final housekeeping question, what's your assumed tax rate for 2016?
Heather Getz: For 2016 we expect that the NOLs that we have will cover any federal or state income taxes that we have, we're actually in the process of doing that analysis now but the initial read is that will have enough to cover any anticipated tax.
Operator: Our next question is from Jan Wald with Benchmark Company. Your line is open.
Jan Wald: So I question I have is if I look at what consensus was in terms of where you least consensus such would be was about 46.1 million for the quarter and if I look at what happened in the technology group which I think is [indiscernible] and the 1 million added to patients services. It still doesn't quite get me to where I think the patients where people expect the patient services to be and it didn't get to where we expected patients services to be. So is there anything else going on in patient services that we ought to know about?
Joe Capper: I think that you went through that, right Heather, you pulled -- patient services was pretty much where we expected it to be. We had a couple million dollars shortfall in the product division, or technology division and products sales.
Heather Getz: So when you look at product Jan, our technology it was down 1.3 million year over year but we actually expected sequentially an increase so the actual difference to what we guided to was higher than that 1.3. So it's closer to the $2 million. So the rest of it is just slightly lower between research and product not anything significant.
Joe Capper: And Jan, I think it's important to remember we talked about this in the past. It's a division that we break out because we have to break it out and it does contribute to the company but it's a lesser strategic business if you will, it's one that we don't allocate marking resources to. So when we talk about the growth in the company we consistently talk about in terms of health care services growth and resource services growth both of those businesses are moving in the direction we want to be moving. This was a case where several customers delayed product purchases waiting for upgrades to next generation systems, migrating from 2G to 3G and things like that. So it's a strategic concern for us and I think it was reflected in the margins of the business, margins were better than we thought.
Jan Wald: Yes I guess. I understand that about technology I was just wondering if -- it sounds like you're happy with the way that patients services business grew but it grew slightly less than we had anticipated to work. So I was just wondering if there was anything there that we should take note of, also notice that research services grew faster than we had expected so and you still came in a little bit late according to us. So I was just wondering if something else was going on but--
Joe Capper: No, not really and you know for us we want to grow faster than the market. We said that several times and you know we don't necessarily get a good market share data in this space so good proxy for it is the IMS data around [indiscernible] you heard us talk about it both overall office business and cardiology -- some specialties drop in the summer month. So if we take that drop into account and we stayed even with the market theoretically we should have dropped. So we actually had to grab share right. So we actually grew the patient services business in spite of a drop in volume per se as related to doctor office visits. So we're pretty pleased with it and then the momentum we had coming out of the quarter and into the fourth quarter looks pretty solid.
Jan Wald: And on the research services side, it sounds like the pipeline is improving, could you talk a little bit about the pipeline and what your expectations for the rest of this year and if you’re willing and going into next?
Heather Getz: Yes. I mean we don't typically break it down into that much detail, the way I look at it Jan is that sequentially you'll see an improvement again in research versus Q3 and Q4 and then looking into 2016. We guided to that double digit revenue growth, our expectation would be if you look at three segments that the research would be growing faster than the average and so you can kind of bake that into your numbers with research growing a little bit faster, health care growing at about an average and the technology segment being below the average that we would grow.
Jan Wald: Okay. I guess what I was looking for was in the past you have said early on you were catching Phase 2 trials, you’re working towards getting larger trials under your belt. Are you seeing that trend continue and grow?
Heather Getz: We’re Jan, we’re actually seeing a couple of things we're seeing an increase in the total number of studies that we have going on and we're seeing higher dollar, longer studies in the later phases.
Operator: [Operator Instructions]. Our next question is from Marco Rodriguez with Stonegate Capital Market. Your line is open.
Marco Rodriguez: I just want to get a little bit of clarification on the gross margin for fiscal '16 just kind of following up on earlier question. You mentioned that you're going to be looking to add back some of the cost efficiencies you'll be saving to accelerate topline growth. So are we talking that gross margin should probably be relatively flat this quarter 60% area in fiscal '16 or is that extra investment going to a different line item?
Heather Getz: Yes so your gross margin will go up a little bit in '16 because of the Medicare rate I think that's about 100 basis points and then you may see a little bit of additional efficiency but that may be offset with some investments down in G&A.
Marco Rodriguez: And then in terms of the overall revenue guidance for fiscal '16, just trying to get a little bit of a better sense of far as how you might see that flowing through on a quarterly basis not looking for specific numbers but with the patch launching in late Q1, just trying to get a better feel for how you expect that to flow through?
Heather Getz: Yes. Marco, it's probably a little bit too soon for us to provide that. We're still planning from a sequential and quarterly basis. We just felt that we were in a good enough spot to give that high level of general guidance based on what we've seen. So we'll be able to give you more detail looking at the end of the year.
Marco Rodriguez: Okay. And then one another quick kind of a question here in terms of fiscal '16. Can you provide any sort of color or guidance in regard to what your CapEx spend might be and then also what you expect your D&A to be?
Heather Getz: Again probably a little soon. I wouldn't expect it to be significantly greater than this year, we made some investments in our CardioKey this year, next year we'll probably see some additional spend on the patch with a little bit lower spending on software next year. So it's probably going to be about where we're looking at this year on the CapEx line. D&A, we will probably be a little bit higher than this year given that we're going to put into place a new front end system that will start depreciating in probably Q1. So you're going to see a little bit of a higher D&A expense.
Operator: Thank you. And that concludes our Q&A session for today. I would now like to turn the call back over to Mr. Joseph Capper for any further remarks.
Joe Capper: Thanks, Operator and thanks again everyone for your continued support and interest in the company. We will speak to you all next quarter and operator that concludes today's call.
Operator: Thank you. If you joined the conference later today you may listen to the conference via digital replay which will be available through investor information section of the BioTelemetry website at www.gobio.com until Friday November 20, 2015. Thank you and have a great day.